Dominik Prokop: Ladies and gentlemen, may I welcome everyone cordially. My name is Dominik Prokop. I represent the Investment (sic) [ Investor ] Relations department. This is a conference devoted to results of the fourth quarter as well as the whole of 2025. The first part of the meeting will be devoted to the results of the bank as well as the trends. And this will be headed by the President, Piotr Zabski, who will sum up the most important trends and will tell us about the results in the business area. We will have also Marcin Ciszewski, who will present the risk; and Zdzislaw Wojtera, our Deputy President, who will tell us about finance. After the presentations, we will then have a Q&A session. Before I hand over to President, Zabski, let me encourage all of you who are listening to us to ask questions already in the first part of the presentation, which will enable us to smoothly continue with the Q&A. That is all from me. I hand over to President, Zabski.
Piotr Zabski: Ladies and gentlemen, good morning. May I welcome everyone cordially at the results publication. The Supervisory Board approved our financial statement yesterday. So we can tell you about what has happened in the fourth quarter of 2025, but also in the whole of 2025. So there will be a lot of figures devoted both to the fourth quarter and the whole of the year. It is a special moment for us because this is the first full year when we can present the results, which we had forecast and delivered, which you will see in a moment. But it's also a very good stage for our development, we are in the new headquarters of our bank. There was a move to the new headquarters in September, and this is the first conference in this new beautiful headquarters, Varso Tower. Moving on to the bank results. Let me point to some important aspects. In the fourth quarter, as far as revenues are concerned, we had a very good result, almost PLN 1.5 billion revenues, PLN 1.26 billion is in interest income, which is by 4% less year-on-year. But if we compare the quarters -- if you compare the quarters, but the commission income is very good, PLN 240 million, which is by 9% higher than the fourth quarter of the previous year. And so the revenues of the whole year reached PLN 6 billion for 2025, which was forecasted in our strategy. There was a great contribution in the new sales. The interest income is PLN 5.13 billion, 1% drop year-on-year. Obviously, there was a drop in interest rates, and that translates into this decreased results by the commission income for 2025 is by 4% higher and translates into PLN 900 million. Net profit in the fourth quarter is PLN 688 million by 12% higher than the previous quarter -- the previous year's quarter, so quarter-on-quarter, and PLN 2.35 billion (sic) [ PLN 2.37 billion ] net profit for 2025, which is a decrease by 3%, which we consider a good result considering the interest rate drops. This was delivered in very high ROE ratios, 21.7% in the fourth quarter and 19.6% for the whole of 2025. We forecast 18%, if you may remember. In the lower left-hand corner, a number of good details. We continue the drop trajectory in our cost of risk ratios and the drop in our NPL ratio. The cost of risk quarter-on-quarter is below 1 percentage point and 0.13 percentage points drop for 2025. So another good year when we improved the ratios there. And the NPL ratio today is a very important element of our dividend decision. That is 5.64%. Our promise and the strategy is, therefore, continued. We plan to go down below 5% of the NPL ratio. We will hear later about the significance of that particular drop. As far as customer relations are concerned, we keep growing. The relational customers are now 1.7 million. We kept selling more, but we had a considerable churn, which will later be commented upon. There were individual promotional activities finished and some of the customers moved to other banks. We put a lot of stress on relational customers, and we grew there by 107,000 customers. As for mobile app users, there was a considerable growth, the fastest growth in the sector, 17%. There was an improvement in our application where we were able to offer it as a product to the customers at a more professional level. The sales, which were considerable and improved our results, was PLN 8 billion in the fourth quarter '25, which was an increase of 12% year-on-year. In the whole of the 2025, there was a growth of 17%. Together with the leasing sales, it was about 20%, which is very good because our promise of growth is, therefore, materializing. What is also crucial is how to deal with the churn, but that is the task for this current year. There's been a growth in the deposit portfolio. We grew alongside the market at the level of about 7% year-on-year. The value of our portfolio at the end of the year was PLN 82.6 billion. What is worth noting is that it's been a very good quarter in early leasing, the fourth quarter. But the whole of the year was good as far as the leasing activity is concerned. For the business customer, the leasing product is our flagship product, especially for small- and medium-sized enterprises. PLN 7.2 billion is the portfolio, which is 9% growth year-on-year. In the fourth quarter, we had 14% growth year-on-year. We are not present in all the segments, mind you. So this is especially good in that context. Now a few bits of information which may be new to you. What is of paramount importance? We are now part of the top tier as far as financing, like I said, we are above PLN 100 billion, which is a growth of 9% of our assets year-on-year. The working loans translates into 5% growth and a 7% growth in deposits, which is PLN 82.6 billion. And as I already mentioned, PLN 1.1 billion in assets. As for our other figures, we show you in the first line, the fourth quarter compared to the fourth quarter of the previous year. Cost-to-income ratio around 38% annually and quarterly, the costs have grown. Zdzislaw will refer to that later. As for the NIM ratio in the fourth quarter, the lower interest rate translates into this result, but we have 5.38% level. And as for ROE, I already mentioned a very good result above our strategic forecast. As for cost of risk, not 0.29% and 0.49% for the whole of the year. So there's been an improvement in each of these indices. As for the capital, we are at the level where we can be confident in developing our scale and the NPL 5.64%. So our promise has been delivered. We want to be a dividend bank. We want to be able to pay even more than 50% of our income, but we would have to go below 5%. Marcin will tell you about that later. Now a few words about the customer side, 107,000 new customers, 240,000 mobile app. New users, about 5% of the mobile app users are banking with us. We are catching up on the slightly worse results in the previous stages in a very dynamic way. Now a few words about what is happening on the deposit side. This is top left-hand corner. The structure of our assets of retail customers is presented there. There's been a growth of 13% across the year in all the constituent parts of this portfolio, which makes us very happy. We're happy to see the investment funds grow because this is a considerable part of our commission revenue. And investments, as you can see, are also going up. On the right-hand side, you can see the gross loans to retail customers divided into the consumer loans and the real estate loans, both the guaranteed and non-guaranteed ones. In the fourth quarter, you can see that there was almost a parity as regards both the guaranteed and non-guaranteed loans with an increase on the side of the real estate loans, the longer tenor guaranteed loans, but with lower risk and greater markup. So we are slightly changing the product mix in our portfolio in the direction of the better products with lower levels of risk. At the bottom, you can see the loans which are shown in the dark red color in the top slide. There's been a growth of 14% in the non-mortgage loans to retail customers. That is the growth of sales, not of the portfolio. The both parts the cash loans and the consumer finance behave according to our forecast. What I would like to comment on is the right-hand side bottom corner, the growth in the mortgage loans, 36% growth of sales year-on-year. If you consider that 2024 saw 1/4, as far as I remember, of the sales on the BIK A2 if we decrease that, then the increase would be almost twofold. We increased the sales by 100%, and we keep growing it quarter-on-quarter. Our share is higher than it would seem from the analysis of our share in the whole of the loans balance in the sector. What I mentioned previously is the importance of the mobile customer. We have a new application, which is going very smoothly. It does not crash. There is easy access to all the features. There's been a great improvement there. The assessment of the customers is very positive, as you can see. So we are improving the -- as far as the application is concerned. As regards to the business customer, let me focus on this. Now in the top left-hand corner, you can see that there's been a drop by 5% in the portfolio size, but a few words of explanation are on order. In this particular portfolio, we have the micro segment and small, medium-sized and large companies. As for the micro sector, this will keep growing because we have the largest NPL ratio there, and we have to get rid of that portfolio, which we are doing step by step. So this part is decreasing definitely. And the difference as regards to the sales is about 32% drop year-on-year. At the same time, we keep improving in the segments where we are a good player, where we are confident and competent in the medium -- small and medium-sized enterprise. And there's been a growth of 32% there. So if you consider that we are getting rid of what's in the top right-hand corner of the nonworking, nonperforming portfolio. And if you put all these together, plus the new sales, which has grown by 40%, has not yet translated into the growth of the whole portfolio. So in the middle of that portfolio, there are all kinds of things happening, sometimes contradictory in different segments, different things are happening, but we hope that the trend will reverse and the small and medium-sized companies is not the segment where we will see the huge increases, which in previous stages saw an increased level of risk. So this time has passed. For our business customers, they've got deposits here, 3% increase year-on-year. We are especially happy about the fund of a new system that we have launched as far as IT is concerned, very much focused on our mobile app, has been taken advantage of vastly by our customers. So our customers do their banking online, in the digital channels, which is something that make us very content about. Now leasing is our response to the needs of micro customers, but also given the fact that the banking sector may also ensure funding to micro companies that have been there for less than 2 years. Leasing is a very nice response, 9% increase year-on-year. As far as the sales go, 13% in quarter 4 [indiscernible] and 14%. So this portfolio has increased by 9 percentage points. We do not play on all the segments. We only service most promising sector that is the light vehicles. Light vehicles is not our specialization. Machinery and heavy-duty vehicles is where we have most competence. This is where we keep growing, and this is our response, manifesting how we can secure it and grow in the business sector. So much for a very short commentary to rather general results of the bank. And now Marcin will tell you more about the risks.
Marcin Ciszewski: Piotr, thank you very much indeed. I welcome you all. What is our capital standing of the bank? It is very safe and sound in T1 and TCR. The ratios are 17 -- 73 which makes us having a nice buffer regulatory minimums. And this gets translated in PLN -- into PLN 4.8 billion. And we are very consistent in our operations. We issue further installments of bonds. The year was closed at 21.43%, 257 bps higher compared to the regulatory minimum that is imposed on the Alior Bank Group. For the liquidity indicators, long-term and short-term liquidity ratios are equally safe and sound, exceeding regulatory minimums at a safe level, 245% and 49% for the other ratio. As Piotr has already told you, our assessment is this. We very much comply with the requirements that enable to have a distribution of 50% dividend, and we are awaiting other orders, no decisions have been taken as of now. To make a reference to what Piotr has said already, this slide stands to reflect the way we manage risk, both with regard to core as well as NPL ratio. CoR was standing at 0.49%. So this is yet another period, consecutive period we've been dropping this particular index. And please pay attention. This index is very much impacted by the sales of other portfolios like performing loans. This is one of the constituents that is taken advantage of as far as cleaning the portfolio is concerned. And we do clean it in terms of sales. And at the same time, we have managed to maintain our directional CoR that we have otherwise shaped the level, not exceeding 0.8%. And as I have already said, we are very much pursuing our strategy, our operations, which targets at nonperforming ratio at a level below 5% threshold. Our strategy says this particular ratio towards the end of the year will get below the 5% level. So we keep pursuing this path, and we will manage to decrease the set index below the level of 5% beyond by the end of this year. Gradual improvement of the quality of the loan portfolio, PLN 3.6 billion, that's the final value of the year as we discussed at our previous conference. Towards the end of quarter 3, we had one substantial default in our sector of business customers. But in spite of all that factor, there's been a further decrease of nonperforming loans. NPL ratio for retail customers. Well, it stand very confident level, especially when it comes to business customers are concerned, still, there is a lot of work to be done in the micro segment because that respective index is still 2 digit. On the right-hand side, top of the page, we can see what was happening in quarter 3 and 4. NPL sale affected significantly the level in quarter 3 and 4, respectively. You may want to see the level of CoR, which has been generated on our end without one-offs. That would be relevant to mention. And now Zdzislaw will hand -- will take the floor.
Zdzislaw Wojtera: Thanks a lot. Now it is my time to discuss the financial results. Let us first look at our revenue side between 2024 and 2023, 1% drop, PLN 49 million. So we have managed to maneuver well in the environment of decreasing interest rates and significant costs very well indeed because the revenues are well comparable between 2024 as well as 2025. The commentary from [indiscernible] development of our business volumes made us capable of compensating the decrease of index rates by the growth of business. Let us now have a look at our growth. There is a drop of 3%, yet these quantities are where comparable between 2024 and 2025. So we must consider 3 factors, indeed, one of them being interest rate cuts. Secondly, BFG costs decreasing. And third, a one-off event that is tax asset. The impact of the revaluation of the net tax asset, I will discuss it further. Quarter 4 2024, 2025, if we put them all together in 2024, we accounted the cost from the whole 2024, whereas as regards to 2025, I will show it to you in the next slide, we cared that there is a linear growth materializing. So this basically explains the difference of 13% between quarter 4 2024 when compared to quarter 4 of 2025. Now let me discuss in detail our income statement. The first column that you see marked in yellow, these are quarterly results, which have already been well commented by Piotr. Now please bear in mind a stable interest result. There's been a stability because in quarter 3 already, we have reflected all the impact of the interest rate cuts to reserve positions that I would like to comment on. One concerning free of charge credit sanctions. So there has been a reserve in quarter 3. And the difference is the outcome of the change of the quantity of cases that come in and also our model approach is taken into consideration, but this isn't troubling by any means. Another position, EUR 50 million cost of risk of mortgages in foreign currencies that is in euro, [ EUR 50,151 ] million in the whole of 2025. So we are screening every senior for both these positions that is the sanctions and mortgages in foreign currencies to be manifesting a conservative stance so that the whole of the risk against -- reflected in the relevant manner. We had 110 more court cases. There's been a growth in this respect. This isn't significant. However, I wouldn't expect any increase in the current year. I suspect we should talk about the quantities that will be lower when compared to 2025 as regards to the reserve. Tax assets, that is income tax, there has been a substantial difference, especially if you pay attention to in quarters 3 and 4 here, there's been a plus paradoxically enough. But there's been a discussion on that by other colleagues of mine. So there's been the introduction of tax as of January this year. Therefore, we must do other estimates based on another interest rate PLN 9.5 million on the plus side that was accounted for in quarter 3. Yearly results are pretty solid on the interest rate side and loans side. Marcin was already speaking about that EUR 2.337 billion, a very solid closing of the year, including all the factors that Piotr was speaking at length about. Now let me move on to yet another look at our costs and interest costs. This comes as no surprise, especially if you consider the medium part of the graph. Our quarterly statements manifest a decrease of 10%, stemming from lower interest rates, 22% on the side of the interest costs. By and large, it gets reflected in our decrease of our margin, interest rate margin. It used to be 6%. Now it got lower to 5.38%. Please note the impact of the low interest rates. That is number one factor, but there is also another factor that is a change in structure of our statement, which is the product of us selling other products that is mortgages. If we get back in time mortgages, given interest rates reality, well, the margin was pretty high, but the mortgages are being sold more dynamically. They've got other profit characteristics and therefore, the margin has been a little bit more sluggish. So the margin is very impactful as regards to the margin that you will get to see in quarter 4 2025 on the one hand, but on the other hand, if you have a long-term perspective, we are building up a very stable portfolio of revenues in the longer time horizon for the bank. So the whole banking industry has been learning lessons around the ease of mortgages. This has been included in our contracts and all the clauses which are relevant. This is precisely how we wanted to mirror also the guidelines of the Polish Financial Supervision Authority. So our portfolio is this. It is looking into a longer time horizon. So my take is it is a very positive trend. The very interest rate profit, it has dropped by 2%. Also taking into consideration the credit [indiscernible] that happened in 2024 is by no way surprising because this is clearly our response to the result of interest rates given the dropping of the interest rates. Now about commission as you look at the first quarter and results concerning the first quarter. And there were questions about this would not be our case here and whether we will manage in the subsequent quarters. We said, yes, we will want to improve it. And here, you can see the result of our activities. If you take year-on-year results, you see that there has been an improvement by 9% in the commission income. And the source of that income is also important. It stems from the activity of retail customers and the activity of customers who use different products of Alior Bank, but also the brokerage commission, which stems from the activity of our customers, the development of our TFI participation in investment funds, the individual advisory services to customers. All this has translated into these improvements and these activities will certainly be continued. There's been stabilization of operating expenses in 2025. We are quite happy that we managed to optimize the operating costs of the bank. If we deduct the BFG costs and focus on the Alior Bank internal costs, the costs have grown by 5%, which is below what I had communicated a few quarters before. We talked about 6% to 7%, but we've managed to keep it at the level of 5%. So that's a very good result. Another important element, which I want to draw your attention to and which was also forecast by us, we wanted the growth to be foreseeable and comparable and we've delivered that aspect. If you look at the first quarter, we see a one-off BFG cost there. There was a one-off event which affected the raise. But other positions are quite well comparable, and we will keep maintaining the cost discipline so that they can be compared quarter-to-quarter. I am convinced that we'll be able to continue with that in 2026. And we want to have the rise of costs even below the 5%. The cost/income ratio is very good, 37.9%. And the quarterly ratio and 39% in the annual result. So that is also a good indicator for the development and for the cost structure of Alior Bank. And I hand over to Piotr.
Piotr Zabski: Thank you, gentlemen. Just to sum it up, I would like to say that our business agenda, the one that we've addressed in our strategy is working according to our expectations. We announced 3 pillars in our strategy that we want to focus on. And they are connected strongly to the development of the bank. The first one is the growth of scale, entering the top tier, PLN 100 billion, a leader in consumer finance. We are definitely a leader there. No one is ahead of us as yet. We keep growing in relationship customers. That's our focus, 107,000 new customers. There's been a certain level of churn, which we are struggling with. But the rise in the transactional ROIs, a record growth in sales by 17%. If we divide the BFG, it's almost 20% of growth, especially driven by the consumer -- by the mortgage loans. Deposits are growing. So the scale is materializing and the figures speak for themselves. The second pillar is the high resilience. I want to focus on the change of structure of our balance sheet. We go toward long-term loans, which are guaranteed rather than the non-guaranteed at a lower margin level, but they bring a lot of stability to our portfolio. But we are not slowing down as far as consumer finances is concerned. We are a leader there. We are experiencing very good sales, high margins, low risk. As far as the business customer is concerned, we keep growing in the segments in which we are confident and competent as far as micro enterprises are concerned and where we are not able to finance the loans. We have a leasing offer, which is also growing in a very stable way. Coming back to the resilience, the commission result is very good. It keeps growing. There's also a growth in terms of income from investments, which is seen in the market in general after a certain period of stagnation. And we are also more resilient technologically. Our systems have considerably improved compared to the previous periods. The mobile app is very stable. The accessibility of the service remains at a very high level. And the third pillar that we mentioned in the strategy is the operational excellence. What I want to stress in this regard is that we are changing in terms of technologies. We are becoming an advanced business. We're introducing a new app, both on the retail and the business customer side. We are also developing the agile model, AI coded and the whole organization, all the employees of our headquarters are now able to work in the agile system, which we have scaled up this year, and we work in the system, which brings concrete results. A very strong cost discipline. After the BFG deduction, the 5% cost growth compared to the whole of the sector places us in a very good position. The costs are well managed by us in a foreseeable way even in the quarter-on-quarter results. We don't have the volatility, the ups and downs that we used to have. The risk and the figures that Marcin mentioned speak for themselves. All the graphs, the results show a very good trajectory. There are very good results. We improved the risk situation. We want to get below the 5% ratio in the NPL, which will allow us to pay out a 75% dividend. We improved the KNF ratios. We are waiting for the individual decision regarding the dividend for 2025. But that will take some more time. And all this has brought us to the results that we have, the revenue above PLN 6 billion, net profits PLN 2.5 billion, a very good indexes of cost to income and cost of risk and NPL 5.6%. That is all a very good result in the environment of low or definitely lower interest rates. They went down at a faster rate than we forecast. So it means that our business strategy is working, and I want to take this opportunity to thank all the employees for this excellent result. And thank you for the dedication, for the effort and for working together to develop the Alior value, which we have described to you. That is all as far as the formal side is concerned, and I believe we can now move on to the Q&A session.
Dominik Prokop: Thank you very much. So we can now start with questions. The first question, what was the impact of the NPL sale on the fourth quarter 2025?
Marcin Ciszewski: In the fourth quarter, we recognized a sale of the second important portfolio that was sold in the previous year. In the fourth quarter, the income from that sale was PLN 110 million.
Dominik Prokop: Thank you. The next question to Marcin. What sensitivity to interest rate changes can be expected after 2025? What is the current SOT ratio and the NII sensitivity to a rate cut by 100 points?
Marcin Ciszewski: Well, as you realize, when interest rates are going down, there is a greater pressure to manage that particular ratio. We assume in our plans that this particular ratio will be maintained at the regulatory level. At the end of the year, we assume that it will be at the level of 4.5% in T1. And as regards the sensitivity, which was mentioned in the question, 100 bps should have an impact of PLN 120 million.
Dominik Prokop: Thank you very much. And the next question about the dynamics of the loan portfolio in 2026. What do you expect? And is there a possibility of an increase in the business sector?
Piotr Zabski: Let me start with the retail customer. We expect a positive dynamic as concerns consumer loans. The increase that we forecast not necessarily in the installment loans because there's a trend that we need to grapple with. But as far as mortgage loans are concerned, there will be a definite increase. And as far as the corporate sector is concerned, we have sold more year-on-year, but we need to see what's happening within the corporate sector portfolio. I already mentioned that in the micro enterprises, we have a considerable debt to be paid off. In the small and medium-sized companies, we are growing. As far as the leasing sector is concerned, there's a considerable growth of 16% year-on-year. So in the corporate sector, yes, there will be growth, the growth in the sectors where we are a good player. We want to grow in the micro sector as well, but in a safe way so that we don't experience the kind of crisis that we have as regards to risk and the debt that we keep having paying off still today. The large deals that are more and more present in the Polish market, we will certainly see our presence. But considering our scale, this is not our core activity.
Dominik Prokop: Thank you. The question about the free loan sanction. What trends can be expected in the SKD sector? Can we expect that the target reserve level will represent 100%?
Piotr Zabski: Well, I think Zdzislaw would be able to comment on that. SKD is a problem of all the sectors, including us, of course. We recognize the dynamic and want to reflect it in our reserve structure. Will it be 100%? Well, I don't think that SKD goes the same way that the French -- the Swiss franc loans because the regulatory authorities have taken this seriously on board. And I believe that the new law, which is being worked on and the Office of Consumer Protection will not translate into a modus operandi for all kinds of cowboy companies, legal firms, which are really the real beneficiary for this solution. And as far as the reserves are concerned, we want to reflect them in our books.
Zdzislaw Wojtera: Indeed, for the model, it is impacted by 2 factors that is the incoming clashes and the number of cases that will get lost. The majority of cases is where we are, on the winning side. So if we look from that perspective, we don't see the need to create any further reserves or increase that often in 2026. Our point of assumption is much is going to be determined by the European Court of Justice. So we believe the trends we have spotted already are rather positive, and they have only gotten confirmed in the court adjudications, that is the bank expecting more -- the sustaining trend in the currency portfolio. In 2025, we had a rather conservative stance, but we don't think, given the number of cases which are coming in and the recent trends that we would have to create at the same level of reserve. It'll be smaller compared to 2025 in the current year.
Dominik Prokop: Another question on the value of NPL portfolio. How much of that are balance positions and nonbalance positions?
Marcin Ciszewski: As I said beforehand, this is one of major components as far as the whole management of NPL goes. I do not have at hand, however, so -- such details. We do not disclose this kind of detail.
Dominik Prokop: Another question. The churn of Alior Bank customers, is it in any way different to the market average? And if so, where does that difference stem from? And how is the bank planning to manage, to cope with the churn?
Piotr Zabski: Our difference is by no means different to the market average. Our customers, by and large, are not only loyal to one bank only. Most of our customers, except for the youngest ones have accounts in other banks. So the churn stands where it does. It is by no means satisfactory to us. However, what I stressed was certain marketing campaigns that we launched in 2024. They have already been brought to a close, resulting in the outflux of customers. The activity as I said was already concluded. What we did in 2025 does not come with this particular risk. But the impact was eventually be seen in 2024.
Dominik Prokop: Than you. We will ask another question on the value of the mortgage currency portfolio towards the end of 2024 and 2025, respectively. What are the statistics of the legal actions here?
Zdzislaw Wojtera: Towards the end of 2024, we had PLN 39 million gross value of Swiss franc. Later, a year after, it was only 7 -- the account statement towards 2024 was equivalent to PLN 1.4 billion, whereas towards the end of 2024, it was equivalent to PLN 1.3 billion. Euro mortgages is about PLN 1 billion, 3% thereof is within a certain legal action. To estimate the reserve the way we described in the financial statement, our assumption was that the target here for legal disputes as concerns the euro mortgages will be equivalent to 9%.
Dominik Prokop: Thank you very much for that. Another question on the expected dynamics of the result of interest rates from commissions as well as operating costs in the current year.
Zdzislaw Wojtera: For the interest rate result, it is quite a challenge to face to make it stable at the level it used to be, we would need to employ a more holistic view on that. Our ambition is to shape the revenue stream in 2026 in a manner to enable us to have amounts that would be very much aligned with what we had in 2025. So we assume that the growth of the new business will be enough to compensate for the effect of cut interest rates. So that's our stance. This is our working strategy for 2026. For the costs, our ambition is to make them stay at where they were in 2025, well beyond the 5% level, including the [ BFG ] cost, and I assume that we'll manage to curb them below the 5% level.
Dominik Prokop: Thank you very much. Another question. After a 4 percentage point growth of credit in 2025, can we expect a 30% increase in the strategy perspective? An increase of strategy in 2026, is it going to surpass what we saw in 2025?
Piotr Zabski: Possibly, this 4 percentage point increase give us a straightforward answer. Nevertheless, this concerns the way we sell. Well, the sales have increased without [ BIK A2 ]. This accounted for 20%. BIK A2, 17%. What we grappled with was churn. Essentially, it was pretty unique. So the portfolio could stay on sales only. Now being mindful of the strategy for mortgage sales, well, they stand depending on segment between 12% or 10%, 15%, 16% in some areas, especially the ones that we feel particularly confident. So we intend to grow. Are we going to achieve a 30% increase? Well, we are firm believers, we will.
Dominik Prokop: Another question. To what a degree the growth of our mortgage portfolio is the result of the refinancing of credits, and to what extent does it stem from new credit loans?
Piotr Zabski: Most of the sales are made up by new loans, yet the market trend is this. The majority of increase of sales on the market in the whole banking sector is very much the outcome of refinancing. In our case, however, it is mostly determined by the new loans as such.
Dominik Prokop: Another question, what is the expected dynamics of the number of employees in 2026, a further drop of 5% in the course of 2025?
Piotr Zabski: Well, we don't have these figures at hand. Employment we retain. Well, it is managed on an everyday basis, and it largely depends on the solutions we adopt. Obviously, with a view of automation will adjust our processes, taking advantage of the benefits of artificial intelligence, which the odds are we might want to reduce the size of employment, which doesn't preclude new jobs from popping up somewhere else. So I want to give you any straightforward answer to that question because we are here in a very dynamic environment.
Dominik Prokop: The question on the cost of investments that are forecast for 2026 when compared to the level of 2025.
Piotr Zabski: If I remember correctly, on a year-on-year basis, we've been stable. We have capped the leveling target. However, principle is, we don't disclose this particular data. The technology, by and large, is the last resort where we wouldn't want to invest. The bank badly want improvements in spite of the fact it's 17 years old. Well, by mergers and acquisitions, some systems did 10 years ago. So the growth of technology, making it more sophisticated is a priority to us. Savings may be allocated somewhere else wherever we can, but we'll also invest.
Dominik Prokop: We have exhausted the questions. Thank you very much to the Board for the presentation, for your questions, and we'll see each other on the occasion of another quarterly meeting. [Statements in English on this transcript were spoken by an interpreter present on the live call.]